Operator: [Foreign Language] Good morning. My name is Julie and I will be your conference operator today. At this time, I would like to welcome everyone to the Cascade’s Fourth Quarter 2023 Financial Results Conference Call. All lines are currently in a listen-only mode. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] I will now pass the call to Jennifer Aitken, Director of Investor Relations for Cascade. You may begin your conference.
Jennifer Aitken: Thank you, Jenny. Good morning, everyone, and thank you for joining our fourth quarter 2023 conference call. We will begin with an overview of our operational and financial results, followed by some concluding remarks. After which we will begin the question period. Today's speakers will be Mario Plourde, President and CEO; and Allan Hogg, CFO. Joining us for the question period at the end of the call will be Charles Malo, President and COO of Containerboard Packaging Group; Jerome Porlier, President and COO of Specialty Products; Jean-David Tardif, President and COO of Tissue Group; and Luc Langevin, Senior VP of Corporate Services. Before I turn the call over to my colleagues, I would like to highlight that certain statements made during this call will discuss historical and forward-looking matters. The accuracy of these statements is subject to risk factors that can have a material impact on actual results. These risks are listed in our public filings. These statements, the investor presentation and the press release also include data that are not measures of performance under IFRS. Please refer to our Q4 2023 investor presentation for details. This presentation along with our fourth quarter press release can be found in the Investors section of our website. If you have any questions please feel free to contact us to contact us after the session. I will now turn the call over to our CEO. Mario?
Mario Plourde: Thank you, Jennifer, and good morning, everyone. Let me begin with a quick overview of our full year 2023 results. We've increased sales and EBITDA by 4% and 48%, respectively from 2022 levels. We are pleased with this solid performance and the turnaround in our tissue business in particular where favorable market condition and our wide ranging profitability initiative successfully repositioned this business operation and equipped it to generate an EBITDA of $182 million in the year. We finished the year with a slightly lower net debt levels, notwithstanding, the significant investment made throughout the year in the Bear Island facility and improve our leverage to 3.4 times from 5.2 times last year. Moving now to our Q4 result, on a consolidated basis sales were stable year-over-year, while adjusted EBITDA of $122 million rose 5% from the prior year. Pricing was a headwind for top line performance, the effect of which were offset by stronger volume. Year-over-year, EBITDA levels were also impacted by lower pricing, but this was mitigated by lower raw material, production, energy and freight costs and better volume in our packaging businesses. Sequentially sales decreased 5%, impacted by lower pricing in addition to lower volume, the effect of which more than offset benefit of a more favorable exchange rate. EBITDA decreased 24% from Q3 due to our containerboard performance, which was impacted by lower selling prices and volume and higher raw material costs. On the raw material side highlighted on slide 5 and 6, the Q4 average index price for OCC increased 127%, 37% year-over-year and 41% from Q2. The OCC markets are consistent strong demand and lower seasonal generation levels, which resulted in tighter market dynamics and put upward pressure on pricing. We have no problems supplying the needs of our operations with good inventory management. Average Q4 index prices for white recycled paper grades decreased 5% sequentially and 44% from the prior year levels. We began to see less favorable market dynamics over the quarter with index prices continuing to broadly mirror Virgin pulp. Pricing for these fiber were slightly higher sequentially with price increase starting late in 2023. Year-over-year however, prices for both hardwood and softwood pulp remain lower down 33% and 25% respectively. Market condition reflects lower softwood pulp supply, following downtime and permanent closure in North America and uncertainty around short-term Asian demand levels and potential effect from the conflict in the Red Sea. Notwithstanding these market conditions the material has been readily available for our mills. Moving now to the results of each of our business segments, as highlighted on page 7 through 12 of the presentation. Beginning with containerboard, sequential sales decreased 5% in Q4. This reflect lower volume driven by a 13% sequential decrease in variable shipments and a lower average selling prices. As previously announced, we took 19,000 short ton of maintenance downtime in the quarter and an additional 30,000 short tons of downtime giving seasonality and softer end of the year market conditions. Sequentially, converting shipment increased 0.6% in Canada, slightly below the 0.9% increase in the Canadian market. US converting shipment increased 5.6%, well above the 0.2% US market decrease. Q4 adjusted EBITDA of $67 million or 12% on a margin basis was 35% below Q3 levels, reflecting the impact from lower average selling prices and volume and higher raw material and production costs. Year-over-year sales decreased by $6 million with the impact of lower selling prices, offset by our higher volume. EBITDA level decreased by 44% with the impact from the lower pricing and higher raw material and operational costs, more than offsetting improved volume and lower energy costs. Year-over-year shipment increased by 10% in Q4, largely related to the new variety and volume converting shipment increased by 7.4% in Canada, outperforming the 4.6% increase in the Canadian market. US converting shipment increased 11.2%, once again significantly outperforming the 0.4% US market increase. Moving -- before moving on to the Specialty Products segment, I would like to have some color regarding the sequential performance of our Containerboard segment. As we stated in our press release, fourth quarter results were below expectation. Converted product shipment remained solid, but usual seasonality and softer demand in parent roll impacted results. Our low integration rate also impacted us this quarter following decrease in index pricing. OCC costs also continued to increase in the quarter, which when coupled with the lower selling prices for pressure on margin. With Verizon ramping up and recent investment in our converting facility, our operating platform is more agile, more competitive and better positioned regardless of the economic backdrop. And we are focused on generating benefits from its increased agility and market responsiveness. These contribute to our decision to permanently close three of our facility giving their future capital investment requirements. Current market dynamics and their higher level of operating costs due to the age of its equipment. Continuing with our packaging businesses, Q4 sales levels in our Specialty Products segment increased by 2% sequentially, reflecting higher volume in molded pulp business and a more favorable exchange rate. EBITDA decreased by $2 million sequentially driven by lower volume in sub segments and higher year-end maintenance costs. Operating costs were slightly higher and realized spreads were stable. When compared to the prior year, Q4 sales were stable decreasing $1 million, as the impact from lower selling prices was offset by a benefit from higher volume. EBITDA level decreased by $1 million year-over-year to $19 million in Q4 as the impacts from lower selling prices and higher production costs were partially offset by lower raw material costs and beneficial volume and mix. Moving now to our Tissue business, which generated a strong quarterly EBITDA margin of 15.6%. This performance was driven by better spread, but it's also a testament to the benefit being realized from the wide-ranging initiative implemented over the recent quarter that involved repositioning of its operational platform including closure of several facilities. To this end, sales decreased 8% sequentially. This reflects a 10% reduction in shipment levels, which was driven by a 3% decrease in shipment on a converting side and a 60% decrease in parent roll shipment. That itself reflects the closure of our Santa Elena mill and higher integration rate of 94% in Q4. Shipment of converted away-from-home and retail product decreased 7% and 1% respectively from Q3 both of which are an outcome of volume sold in Q3 from facility that were recently closed. The average selling price increased by 3% driven by the lower proportion of parent roll in the sales mix and favorable exchange rate. These benefits were partially offset by a slightly lower average selling price of converted product due to the contracted pricing model agreement. Q4 EBITDA of $61 million or 15.6% on a margin basis was stable with Q3 level. This is the outcome of benefit related to lower fixed cost level following the plant closure fully offsetting impact from a net negative volume and sales mix effect. Year-over-year sales rose 2% with sales mix in this setting offsetting the impact from lower pricing and volume. EBITDA increased $53 million from the prior year period. This was driven by lower production, raw material, freight and energy costs. Allan will now discuss the main highlights of our financial performance. Allan?
Allan Hogg: Yes, thank you, Mario and good morning, everyone. So slide 13 and 14 illustrate the specific items recorded during the quarter. The main items that impacted EBITDA were $61 million of charges related to the container one announcement last week and other restructuring costs mainly in tissue related closure of plants in the US. Slides 15 and 16 illustrate the year-over-year and sequential variance of our Q4 adjusted earnings per share and a reconciliation with the specific items that affected our quarterly results. As reported, Q4 net loss per share was $0.57. This compared to a net loss per share of $0.27 last year and net earnings per share of $0.34 in Q3 of this year. On an adjusted basis net earnings per share were $0.05 in the current quarter. This compared to net earnings per share of $0.22 in last year's results and net earnings per share of $0.44 in Q3. Year-over-year this variance mainly reflects improved EBITDA offset by higher financing and depreciation expenses and income tax variances, while sequential volumes reflects lower EBITDA levels and income taxes volumes. As highlighted on slide 17, fourth quarter adjusted cash flow from operations was stable year-over-year to $103 million and adjusted cash flow improved by $106 million from Q4 last year. This was driven by lower net CapEx spend in the current quarter following the completion of the abandoned project investments. Sequentially, fourth quarter adjusted cash flow from operations was stable and adjusted cash flow improved by $28 million from Q3 reflecting lower CapEx and dividends paid. Slide 18 provides details about our capital investments. New investments this year totaled $289 million and paid capital expenditures net of disposal and accounts payable variation totaled $343 million of which 46 was in Q4. For 2024 for our planned capital investments of $175 million have not changed. Moving now to our net debt reconciliation, as detailed on slide 19. Our net debt decreased by $206 million in the fourth quarter reflecting a stronger cash flow, a more favorable exchange rate and a positive working capital volumes. For the full year as detailed on slide 20, net debt levels are down $84 million with benefits from our stronger cash flow and a positive working capital variance, which was reduced by CapEx associated with the Berlin investment and dividends paid in 2023. Note, that in the fourth quarter, we entered into a non-recourse monthly receivables monetization facility. At the end of the year, we had $53 million use on the facility and the receivables were derecognized from the balance sheet and reduce our net debt for the same amount. Our leverage ratio of 2.4 times is down from 5.2 times at the end of 2022, driven by our stronger annual EBITDA levels and factor that I just mentioned. Financial ratios and information about maturities are detailed on slide 21 and other information and analysis can be found on Slides 24 through 31 of the deck. Mario will now conclude the call with some brief comments and our near-term outlook before we begin the question period. Mario?
Mario Plourde: Thank you, Allan. We will provide detail regarding our near-term outlook on Slide 22 of the presentation. As a reminder, this outlook is based on current forecast and expectation and may change. Starting with Containerboard segment, we are expecting Q1 result to be lower both sequentially and year-over-year. This reflects higher raw material costs and lower selling prices both of which are linked to index as you know. Energy prices will also be a headwind sequentially. Our production costs will be higher in Q1, as we expect to take approximately 18,000 short tons of downtime in the first quarter for maintenance and inventory management following the softer demand in Q4 of last year. In addition, the closure of our Trenton mill will remove approximately 36,000 short tons of capacity in Q1. Given our current contract agreement, we do not expect benefits from pricing initiative and recent index changes to be reflected in our Q1 results. These will begin in Q2 and be fully implemented by Q4, adding approximately $50 million to EBITDA level in 2024. Results in the Specialty Products segment are expected to be slightly stronger sequentially reflecting stable selling prices trend and raw material costs and efficiency improvement in several sub-segments. Year-over-year results are expected to be slightly softer. Our outlook for tissue is for first quarter result to be slightly softer sequentially reflecting usual seasonality and higher raw material costs. These will be offset by ongoing benefits from profitability initiative, results are forecast to be significantly above prior year levels, driven by this segment improved performance, since the second half of 2022. Two-brand question that I am sure you all have about our 2024 objective. We are pleased that we have successfully achieved the main business objectives as set out in the plan, namely delevering significant profitability improvement in the tissue paper segment and the successful startup of the Bear Island Containerboard facility. We will not be providing any additional details financial update going forward. However, regarding these objectives and giving existing market condition, most notably in Containerboard, we currently expect to fall short of our $5 billion consolidated sales objective and attain the lower end of the target range for EBITDA and free cash flow. Given this, our leverage ratio at the end of 2024 is forecasted to be slightly higher than our target of between 2.5 to three times. Ongoing profitability improvement initiatives in all business segment and recent price increase announced in the Containerboard segment will support our 2024 financial performance. That said, let me say the following. We are confident about the future performance of our businesses and as our recent initiative and announcement highlight, we will continue to manage each of them with a view of driving profitability, efficiency, productivity and their competitive position. Our current strategic plan ends in December of this year and we have begun the early process of outlining and analyzing our objectives for the year to come. With that, we can open the call to questions. Operator?
Operator: [Operator Instructions] Your first question comes from Hamir Patel from CIBC Capital Markets. Please go ahead.
Hamir Patel: Hi. Good morning. Mario, you referenced some of some figures around the Containerboard segment. How much of the $70 per ton price increase are you assuming is implemented in a Pulp & Paper Week our reflected $40 recently.
Mario Plourde: Charles, can you take this one?
Charles Malo: So Hamir, this is Charles. We are still, as you know, we announced 110 on the medium and 70 on the liner, and we are still continuing to work towards achieving this. Now the pulp and paper recognize the index move by $60 condominium and $40 on the liner. So when you look at our current parent rolls and the contracts that we have, we figured that the average is about $50 and that's what we base impact of $50 million for this year.
Hamir Patel: Okay. Great. Thanks. Thanks for that Charles. And if you think about the where maybe run rate EBITDA and containerboard is at the end of the year, because obviously, this sounds like the price hikes come full effects will only be felt by the end of the year. And then there's the Trenton rationalization. What type of annualized EBITDA would you expect out of containerboard by or by the end of 2014?
Allan Hogg: Well, Hamir, this is not something we will disclose. We said that we will not be providing any more guidance for this year. So we will not disclose any number in that regards.
Hamir Patel: Okay. Fair enough Alan. And just a question on Bear Island, I know one of the objectives there was to be able to utilize significant -- significantly more mixed paper. How far along are you in that transition?
Charles Malo: Yes. So, maybe just a point on to cover the Bear Island. First of all, the we are above our ramp up production, so which is a very good news. Actually, we just announced that we're able to provide also to the market the high-performance recycle linerboard $18 and over so, which is the -- which is a very good news. This product has been qualified and is running well. So this is going to add up to our portfolio of product that we're able to offer to the market. We also tested the percentage of mix that were including. So we went up to 30%, which is not the maximum that we can use. But as we speak right now, this is the -- what we were able to achieve in the ramp-up process. You have to understand that we also want to make sure that we do it properly making sure that we check the quality of the product and following the ramp-up of.
Hamir Patel: Thanks. And so Charles is the objective to eventually take that as high as 60%?
Charles Malo: We can do a bit higher than that on the medium. We can go higher than that in the liner. But again, I don't want to give a number right now, because we're still in the process to make sure that we provide good quality and we ensure that the right the ramp-up of the machine, but some -- but we can we have the flexibility with the investment that we made to do a bit higher than 60%.
Hamir Patel: Okay. Fair enough. And just the last question I had, Mario, on the tissue side, we've seen one of your competitors Clearwater Paper launched a strategic alternatives review for their tissue business. Do you think that could perhaps lead to more industry consolidation in the tissue sector? And would Cascades be open to growing in tissue or conversely potentially selling into somebody looking to consolidate in that space?
Mario Plourde: Well, it opened the doors to it. I don't know who will present itself to this deal for our part. As we said in the past, we won't be a participant in the consolidation because our focus right now is to deliver on our plan 2024 and reduce our leverage. So we have not changed our focus. It's a new dynamic in the market will stay open and looking at what's moving on. But for the moment, we have not changed our focus so.
Hamir Patel: Fair enough. Thanks, Mario. I'll turn over.
Mario Plourde: Thank you.
Operator: Your next question comes from Matthew McKellar from RBC Capital Markets. Please go ahead.
Matthew McKellar: Hi. Good morning. Thanks for taking my question. First, for your containerboard outlook for Q1, could you maybe delineate between your expectations for shipments versus production levels given the desire to manage inventories you called out? And maybe speak to your expectations for converted product shipments versus parent roll shipments quarter-over-quarter.
Mario Plourde: Well, at I can go higher level. Our volume will be higher in Q1 than Q4. But as we said in the press release, we'll produce a bit less to manage inventory. So that will incur some additional costs, but sales volume will be higher than Q4.
Matthew McKellar: Thanks.
Mario Plourde: We don't give the split of boxes or parent roll, but box Charles, you can complete, but box demand is still good.
Charles Malo: So on the coverage side, the demand is still solid. So the growth that we've been experiencing, we're still seeing the same trend right now. So this is the good news for following the investment that we made, both in the new facility and also in the Ontario region, we're still ramping up and keep developing new business.
Matthew McKellar: Great. Thanks for that color. Maybe to stick with containerboard. I know you're not going to provide any financial guidance here, but can you give us a sense of the magnitude of the benefits you should see from the closures of Trenton and the 2 converting facilities you announced earlier in February?
Mario Plourde: Well, Matthew, we have not disclosed that number. So it will be gradually in 2024. But as we mentioned, if volume that will be transferred in other facilities at a lower cost, so that should bring benefit, but we have not -- and we do not want to quantify the benefit of that. But you can imagine that there's a higher fixed cost structure in the mill we close. So that's an immediate benefit on each time that will be produced elsewhere.
Charles Malo: So there's -- this is Charles. So, fixed cost is one of the benefits more efficient. We're going to produce product in a more efficient facility than what they're produce right now. And we're also looking at improving the overall network logistic aspects. So these are the 3 things that we're really focusing on right now on the benefits of the announced closure.
Matthew McKellar: Okay. Thanks very much. Last one for me, just switching over to the tissue business. You noted continuing benefits from profitability initiatives as part of the outlook for Q1. Can you remind us or give us a sense of how significant you expect the incremental benefits from these initiatives to be as we progress through 2024?
Mario Plourde: It's a little early to say, Matthew, Mario speaking. I think we just don't know what will happen with the raw material. What will happen with the pulp, but what happened with the recycled fiber prices. So it's difficult to predict the impact of the cost structure. So and to guide a little bit more precisely 2024. But overall, I can tell you that we have still many initiatives on the table to continue to improve the bottom line and to compensate for those pressure from the open market. We have four converting lines from Oregon that we are actually removing or reinstalling into our network that should give us a few million cases of additional capacity throughout the year. So that should also help us to compensate. So we're really confident to be above last year. That's -- I don't know, if I answered your question.
Matthew McKellar: No. That's helpful. Thanks very much. That's all from me. I'll turn it back.
Operator: Your next question comes from Kasia Kopytek from TD. Please go ahead.
Kasia Kopytek: Hi. Good morning everyone. A question on the Containerboard price hike and notwithstanding that this is a cost lead initiative to begin with, as you're going through your discussions with customers. Is this one proving to be a little bit more difficult to implement versus prior rounds, just given, some of the deconsolidation that we're seeing in the Containerboard industry right now?
Charles Malo: So a price increase is always a discussion between our customers and us. So we've done quite a few over the years. So I would say that every time, we need to spend the time to for them. You mentioned that this one and you saw the input cost inflation which our customers are seeing the same thing also. So this is the level of discussion we're having with them, that in order to be a supplier for the long-term and being able to reinvest in the business and that's why we're pushing for the increase. So while we're working on implementing and that's the line that we're using, our costs are going up for everybody. And we're talking about energy, chemicals, transportation; ability inflation has slowed down a bit, they're still there compare to two years ago. So this is the level of conversation we're having with our customers.
Kasia Kopytek: Okay. Thanks for that. And just turning over to Bear Island, you provided a bit of commentary there already. Are you able to quantify the EBITDA contributions from Bear Island in Q4 and how that's trending now in 2024 and how you expect that to trend going forward?
Charles Malo: So we're not going to disclose the numbers. The only thing we can say is that, in Q4 as it did achieve a break-even. So for quarter, four quarter and we expect that the mill will start contributing in 2024.
Kasia Kopytek: Okay. Thank you. And last one for me. Last quarter, I believe you touched on possible tissue price hike pressure just due to government incentives. Is that something that went away or do you saw more of that? Or maybe just some commentary around just your price sites or tissue prices rather?
Jean-David Tardif: It went away. It was certainly because of the inflation that continue and that the pricing on pulp and recycled fiber that continue to increase. So honestly, we don't foresee a major price concession in the future. And I believe we can even see price increase at some point if things continue to go that way. The thing is we're going to continue to follow that market carefully, as we want to protect our margin into the future.
Kasia Kopytek: Great. Thanks. I am going to sneak one final one in here. Just on recycled fiber prices. Do you have a midterm view of where they're heading? And what is your inventory situation like right now?
Mario Plourde: Well, our inventories are pretty good actually. We obviously manage the closure of the mills and moved it around our network of mills. And we have to understand that the season is a typical low-generation season, so it's not unusual to be to be in the conditions. We are now with the low-generation and a consistent demand. And so we do expect that over the next two weeks typically in March, the generation will pick up and the market dynamic will move positively in terms of price of fibers. But we're currently in a situation where the demand is consistent. The domestic demand is consistent. We are in the lowest generation season and export is not currently a factor influencing the market at this moment for publicity, I'm talking here.
Operator: [Operator Instructions] Your next question comes from Zachary Evershed from National Bank Financial. Please go ahead.
Zachary Evershed: Good morning, everyone.
Mario Plourde: Good morning.
Zachary Evershed: There has been a bit of an issue in the past at times, but can you comment on any discrepancies between what you're seeing in terms of pricing in the market versus what refuse reported for either linerboard or medium?
Charles Malo: I'm not going to comment on a publication or a market that the only thing as I mentioned, we're working with our customers on our pricing, but I'm not going to comment on the specific of the index compare to what the market is or the actual. I'm not going to go there.
Zachary Evershed: Got you. And given your mix of integration and shipments, can you remind us and how the timing of how your contracts in containerboard interact with changes in the benchmark, and how much of that business is adjusted automatically?
Charles Malo: Yeah. So with the contracts and we're talking right now the -- what is the publication index move there is as I mentioned, we're still working on initiatives to implement what we have announced, which is higher than what the index has the recognized. So in our system with the contracts, it's on a period of six months, so fully implemented by Q4 of 2024. Parent rolls being faster within the two months and then the rest of the contract that we have taken till the end of the year with the impact as we mentioned of approximately $50 million.
Zachary Evershed: Thank you. And then it looks like your CapEx for the year came in below guidance. Can you give us any commentary on what's driving that and will there be a catch-up later?
Allan Hogg: Well, we are we manage our cash flow carefully. We had a -- we were slightly above what we said last year due to the accounts payable. Variations on a cash basis were slightly higher, but lower on a gross basis. But to answer your question, no, there's no significant catch up. It will -- we still have the envelope of 175 for 2024.
Zachary Evershed: Thank you very much. I'll turn it over.
Operator: Thank you. There are no further questions at this time. Mr. Plourde, please continue.
Mario Plourde: All right. Thank you everyone for being on the call this morning, and looking forward to talk to you on the next quarter. Have a good day everyone. Thank you.
Allan Hogg: Thank you
Operator: [Foreign Language] Thank you. Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Thank you.